Neal John Froneman: Ladies and gentlemen, good morning, good afternoon, and good evening. A very warm welcome to our H1 2025 results presentation. Please take note of the safe harbor statement. It's important. There are forward-looking statements within our presentation. Thank you. If we can move on to the next slide. As you are well aware, today is my last results presentation with Sibanye as I retire at the end of September. As such, the format for today is I will essentially start with an introduction, covering the salient features. And of course, all of that is focused on the first half of 2025 or the 6-month period of 2025. And then I'll literally hand over the baton to Richard Stewart, our CEO Designate. Richard will manage the rest of the presentation delivery and the Q&A. Of course, I'll also be available for questions, but I'd ask you to please address your questions to Richard. And if you specifically have something for myself, I would be happy to answer. Thank you. We can move on to the salient features. Safety, of course, is our single biggest priority, and regrettably we did have three fatalities during this reporting period. However, and as sad as that is, we need to see the progress we're making, and we're making good progress with an improvement in our safety frequency rates. But of course, that will be covered in more detail in the rest of the presentation. Generally, in my view, H1 has been a period of solid delivery, except for a disappointing performance at our Kloof gold operations. And again, this will be well covered later in the presentation. Pleasingly, group adjusted EBITDA was 120% higher than the same period in 2024. And all my references to previous periods will be the same period in 2024. Even if you strip out the 45x credits, it was still 51% higher than that same period at ZAR 10 billion. Obviously, from our point of view, due to solid operational performance and of course, later in the quarter, we had the benefit -- sorry, later in the -- in the latter half of the year, the first 6 months, we did have the benefit of increasing basket prices. -- was retained. And together with increased earnings, our leverage measured in net debt to adjusted EBITDA at 0.89x. Again, well below 1x and certainly very far below some of the numbers that were projected by the market earlier on in this year and late last year. Importantly, 45x credits to date, amount to ZAR 5.2 billion. You can see the U.S. dollar in brackets. And at current conservative production rates, the total fair value of these 45x credits out until 2034 increases to ZAR 12.6 billion. I want to point out that is 32% of the acquisition value of Sibanye -- of apologies, of Stillwater, the Stillwater operations in Montana. Remembering, we also raised a $500 million stream on that. And also important to remember that this asset has been paid for out of previous earnings, but money raise, that is not related to operations, from 45x in the stream on a conservative basis amounts to 54% of the original acquisition value of the Stillwater operations, making it a very, very good acquisition. You would have also noted that we have launched or filed a petition for a palladium trade remedy. And again, that's all part of our multipolarity strategy. And when you look at both 45x and assuming a successful outcome remedy, these are testament to the value already created and to value we expect to be created from completing this strategy in the U.S. When you look at the graphs below, a lot of good quality information, but you will be -- you will note the punch line is the trend, is your friend. And I'm very pleased to say that I leave this company with an increasing earnings trend and a decreasing leverage trend. And I have no doubt that Richard will take this company forward to new heights. So let's look at the last slide before I really refer to the CEO again, relative total shareholder returns since listing, so not an arbitrary debt. You will note we're right at the top of the list. And again, I know that Richard and his team especially with an increasing commodity price will take us back to number one, but a position I'm very proud that we have achieved under quite difficult market circumstances. If we can go to the next slide, please. Thank you. And at this point, it would be nice, Richard, if you could join me. I have at previous results presentations, spoken about best practice in succession planning I have highlighted the fact that I believe we have followed best practice. And in fact, I believe we've had a world-class transition and not just at CEO level, we have in place and later on in the presentation, Richard will certainly introduce the C team and the new members in his office. And as I've just said, I know that Richard will take this company together with his world-class team to new heights. So Richard, all that really remains for me to say, I will follow your progress as an interested shareholder. I will watch your progress carefully. I'm not going to be one of those shareholders that ask those type of questions at results presentations. But Richard, I want to wish you all the best in your new chapter.
Richard Andrew Stewart: Neal, thank you very much. I guess if I could just take a brief opportunity to firstly say, I think when I was informed of my appointment to be taking over from Neal in October, I got some very sage advice from a seasoned campaigner at the time for whom I have much respect, whose advice to me was just remember that what got you to this point in your career may not be what you need for the next phase. And I think over the last 6 months, I have realized, I don't know that you're ever 100% ready for a transition of this nature. However, as Neal has outlined, I think I would like to commend and thank our Chairman, our Board, but Neal, in particular, for what has been a very well thought out, deliberate and structured transition process. This has given me the opportunity to transition out of my last role and ensure a continuation of the leadership within the South African region that remains a critical region to our business. That's also given me the opportunity to visit our operations and meet with stakeholders, both internal and external, but in particular, to work alongside Neal and truly understand the many nuances of our business, but I don't know you always get to experience when filling an individual executive role. I truly hope that this installs confidence amongst our many stakeholders that this transition has been planned with the utmost efficiency. And that was together with the experienced team that we have, we will continue to build and evolve the legacy is Sibanye- Stillwater. I'd also like to just take this opportunity to thank Neal. No doubt from the slides that you've seen him present, you would realize that the company, Neal will be leaving at the end of September as he transitions into a new phase of life, is a very different platform to what we inherited and started with in 2013. We have a significant operating base, we have a fantastic set of resources, and we have a world-class experienced and committed team that will continue to grow the legacy of Sibanye-Stillwater. Neal, thank you for that.
Neal John Froneman: Thanks, Richard.
Richard Andrew Stewart: Moving on to an overview of the first half of 2025. I think as mentioned in my last statement, we have significant continuity in the leadership of the team. For those of you who have been familiar with the team, you'll see there's very little change at a C-suite level. We do, however, welcome Richard Cox into the role of the Chief Regional Officer for Southern Africa, taking up the role that I previously fulfilled. We have not moved quickly to replace the head of business development at this stage. It has not been a huge priority for us over the last few months. But certainly, looking ahead, that will be a position we will look to fill in the near future. Where we have seen some expansion in terms of the leadership team is in the CEO's office. James Wellsted will be known to many of you, and he will continue in his role as the Head of Investor Relations and Corporate Affairs for the group, but we also welcome on board Bryony Watson. Bryony will be taking over from George Ashworth as our Chief of Staff as George retires with Neal at the end of September. We also welcome Kleantha Pillay, who will be moving into a group role heading up our sales and marketing, and this is very much an underpin towards our customer focus for the various metals and products that we produce. And finally, George Coetzee is joining the team as Head of Group Safety and will be reporting directly into myself. On safety, that certainly remains our #1 focus and our first priority. As Neal mentioned, I think it's been very pleasing this half to see a continued sustained decline in many of our lagging indicators. Over the past 3.5 years since we started our fatal elimination program, we have seen both our serious injury frequency rate and our total recordable injury frequency rate declining by about 15% year-on-year. Having achieved 3.9, the lowest ever in terms of our total recordable injury frequency rate, the first half of this year was particularly pleasing, given that we had set ourselves a target of going below 4 by the end of 2025. Nevertheless, despite these improving trends, it is with a very heavy heart that we do need to still report on the loss of 3 colleagues during the first half of this year. Mr. Xavier Humberto, at our Kloof operations; Ms. Bomkazi Jozana, at our Driefontein operations; and Ms. [ Motzelo ] at our Rustenburg operations. Our thoughts and prayers are with their families who will continue to receive our support. It is also sad to note that we have lost a colleague in July post the reporting period at our Stillwater operations. And similarly, our thoughts, prayers and sincere condolences go to the families of Bryan Hanson. Eliminating fatal incidents and life-changing incidents is our absolute #1 priority. And that is because we care. One of the ways to measure ourselves against whether or not we are progressing on this journey is through a leading indicator we've developed around our high potential incidents. And it has been pleasing that since we started measuring this in August of 2022, despite a significant increase in the number of near-miss reports that we are generating across our group, we have seen a consistent decline in the high energy incidents that could potentially result in a loss of life. These number of incidents have decreased from an average of around 50 to 60 incidents per month down to below 10. This still remains high and is the absolute focus of our leadership and management team to mitigate and eliminate these incidents and thereby fatals within our operations. For 2025, we will continue to drive this through enhancing compliance across the group, primarily through our leadership and effective management routines but also through embedding critical controls that mitigate against this high risk. We fully recognize that in order to have a long-term sustainable elimination of fatal and life-changing incidents requires a true culture throughout the organization, a culture of care. And that too is being driven from the highest levels. Moving on to our strategic positioning. I think as Neal mentioned, when we look at how we currently positioned, I think we're well positioned not only to survive but in fact, to thrive in what is currently a very turbulent and volatile industry and world. I think, firstly, looking at our commodity diversification and particularly our exposure to gold that has assisted our stabilized earnings through very turbulent commodity market cycles. We've also invested very strategically to position ourselves to deliver into long-term strengthening markets, including the lithium market as well as PGMs. Importantly, we positioned ourselves in specific ecosystems, recognizing a global geopolitics several years ago and what we called multi-polarity, and that the need for local supply, especially of critical minerals was going to increase. But not only have we positioned ourselves in these ecosystems, we've also ensured that we beneficiate the metals we mine to produce an ultimate product that is of value to the supply chains, which we serve into. We've already seen the tangible benefits of this from our U.S. operations in terms of the Section 45x credits that we received and our ability to file a petition against the unrolled palladium antidumping -- petition against unrolled palladium coming into the U.S. from Russia. We've also developed the first fully integrated lithium project in Europe. And again, with an increased focus on local supply and local protection of critical metals, this remains a critically strategic project. Construction of Keliber is nearing completion and will be completed in the first half of next year. And we do recognize that today the lithium market remains under pressure. And as such, we are evaluating a responsible start-up to these operations. We've also seen the benefit of being granted a strategic project status at both Keliber and our GalliCam project in France under the EU Critical Raw Materials Act, which has provided us with access to both grants and tax credits as these projects ramp up. I think an important aspect of our asset base are our extensive resources. We have significant brownfields opportunity within our existing operations, and we have already commenced selectively investing through the cycle in select projects. Many of these brownfield projects are very low capital intensity, the lowest in the industry, given that they already have much of the supporting infrastructure, surface infrastructure and overheads in place. It is pleasing to see K4 ramping up and the positive impact that that is having on the Marikana operations, including on unit costs. And most recently, in June, we also approved the commencement of the Siphumelele-Bambanani mechanization project which will see the benefits from having combined the Kroondal operations and the Rustenburg operations. This is a project that will not only significantly enhance the efficiencies and therefore, costs of both Siphumelele and Bambanani, but also brings to account significant resources that were previously sterilized while these mines set in two different companies. We are assessing the Burnstone project that was placed on care and maintenance to preserve our balance sheet 18 months ago. And the decision on Burnstone is likely to be made towards the end of this year. In addition, earlier this year, we did announce the JV with Glencore and Merafe to optimize value from byproducts being produced from our -- in particular, our South African PGM operations and chrome, a potential transaction that is currently under consideration by the Competition Commission, but that will add significant value in longevity to our operations and significant value to multiple stakeholders. And finally, our strategy is underpinned by sustainability. Sustainability will continue to underpin modern responsible mining companies and it is extremely pleasing that during the first half of this year, we have announced an expansion of our presence in the circular economy through the acquisition of Metallix that will be complementary to our existing recycling business. Also very pleasing is to have received our first renewable energy from our Castle Wind Farm. This particular project was commissioned at the end of the first quarter and already to date has added significant savings of just over ZAR 20 million to our energy bill in South Africa, but even more importantly, has reduced our total carbon footprint by some 60,000 tonnes, while it's been in operation. And finally, we concluded last week our annual Marikana memorial lectures. I dare say if I had to take a sound bite out of these lectures, the key theme that came through, and I dare say this could be a lesson for the country as a whole, was the power of genuine stakeholder engagement. Stakeholder engagement to build trust, to understand one another and together, co-create a new future, which can add significant benefits and value to all stakeholders around our operations. Moving on to our operations at a very high level. I think our SA PGM operations can best be described as stable and consistent. They do consistently deliver on both production and cost guidance. And we have, as I mentioned, been investing in these assets through the cycle through K4 and more recently, the decision to invest in a Siphumelele-Bambanani mechanized project. Our U.S. PGM operations have delivered on their restructuring from 2024, significantly reducing absolute costs and minimizing cash outflows. With the recent Section 45x providing financial support on the increasing palladium price, these operations are returning to positive earnings. We do, however, recognize that within our control is costs and to be truly competitive over the long term, reducing those costs as an absolute necessity. And we have a pathway to reduce costs to below $1,000 per 2E ounce over the next 2 to 3 years. As Neal mentioned, the only operations that are not currently within guidance and have been disappointing relative to our own expectations was ISA Gold operations. The operations had a tough start to the year. Pleasingly, during the second quarter, both Driefontein and Beatrix improved to expected output levels, and we look forward to a second half from both Beatrix and Driefontein. Kloof, however, was significantly impacted by seismicity. And due to safety concerns, we did reduce production in certain areas at Kloof. This, coupled with some infrastructure challenges during a transition from a low-volume, high-grade operation to higher-volume low-grade operation has meant that we have -- we are reassessing Kloof to understand what a stable and future-looking production profile could look like from these operations within the current environment, and that work will be concluded during the second half of this year. I dare say, however, these were operations that was slated to have been closed by 2020. And yet still, after 13 years of operating, they remain significant deleveraged to the gold price. And for operations that we to have been closed today to contribute just under 50% of our earnings, I think, is a significant testament to our gold operating teams and management. Also pleasing has been the return on our investment into DRD Gold, which remains our long-term exposure to gold. Despite significant capital investment over the past few quarters into what is called Project 2028, a project that will not only increase production by about 30%, but also the longevity of the West Rand and operations under DRD Gold, they have also managed to make a significant dividend payment for which Neal we are extremely grateful. Our Australian operations last year suffered at the hands of what -- of the impact of climate change, having experienced both flooding and fire within a single year. I think full credit to our operating teams in Australia, we took learnings from those incidents, mitigated those risks and put in remediation measures, and this year are performing well above expectation. Our recycling business remains a significant differentiator and a way to gain exposure to critical metals through low capital cost and certainly is becoming more strategically important as we see regional supply chains and regional ecosystems clamoring to secure critical minerals. Sandouville is continuing to ramp down, and we look to that operation going on to full-time care and maintenance from January 2026. The GalliCam pre-feasibility project will be completed around year-end, and the results of that project will drive some of our thinking around Sandouville moving forward. And finally, Keliber is on track to deliver construction -- the construction phase by early 2026. we have been through the peak project capital cycle. And as I mentioned earlier, we are assessing the optimal and most responsible ramp-up of Keliber given the current depressed lithium market fundamentals. I think looking at our earnings graph over the last 2.5 years tells the story that we have been through from an operational restructuring and repositioning. Having recognized the significantly and very fast decline in the PGM markets in 2023, we moved to restructure our loss-making operations and reposition our business. Through this, we were able to arrest that earnings decline and kept it stable during that period of significant restructuring. And seeing the benefits of that now coming through together with good operational performance, and as Neal mentioned, more recently, increasing commodity prices has seen a significant turnaround in our earnings base, more than 50% higher than what we experienced at the same time last year, excluding the one-off credits, which are a real value that have been added during the period under review. I think as we move through our peak capital cycle, getting to the end of the Keliber and the K4 projects, this is an opportunity to focus on cash conversion from our operations. As Neal mentioned, it's been pleasing to see the turnaround as well and the declining trend in terms of our net debt to EBITDA, with that number coming in significantly or comfortably below 1x, which is the level and target that we have set ourselves. But with increasing cash generation, our focus will now also turn on an overall reduction on our gross debt number. And finally, I think our capital allocation model is one we've shared with the market on several occasions and one you're probably familiar with. But again during the difficult cycle we have been through over the last couple of years, I think just to confirm that we have remained true to our capital allocation model. Firstly, looking at project capital, we have responsibly invested through the cycle. We have completed the 1 year in completion of the build of the Keliber lithium project. We're nearing completion of the K4 project as that is currently ramping up in production. And most recently, approved the commencement of the Siphumelele-Bambanani mechanization project. Burnstone, as I mentioned, is currently being assessed. And to talk to the responsible nature of this, we have also walked away from several investments including the rhyolite ridge opportunity, the lithium project in the U.S., which did not meet our hurdle rates. We have said in terms of our capital allocation that we do want to maintain healthy cash reserves and we have managed to maintain our target of ZAR 20 billion, which provides us with the required liquidity and headroom to manage the business comfortably. I think important to highlight that our dividend policy does and will continue to remain unchanged at 25% to 35% of normalized earnings. Over the past few years, dividends have not been paid in line with the policy. And at present, we are just starting to enter again a position of dividend-paying territory. Given the current global uncertainty and commodity price volatility, we have made a decision not to pay dividends at the interim at the half year, but we will be reviewing this at the year-end. And certainly, with our current outlook on the second half, should commodity prices remain where they are, we are confident that we will be back in dividend paying territory by the end of the year. Moving on to our balance sheet and debt management. I think as you've heard, our balance sheet remains in a healthy position. We have sufficient liquidity. We've got an undemanding debt maturity ladder, which Charles will touch on in a bit more detail and our net debt to adjusted EBITDA has returned to below 1x and therefore, derisked our balance sheet compared to where we were 12 to 18 months ago. And finally, we have made some small but very measured and strategic growth investments. The acquisition of Metallix, which we announced in July, will expand our very strategic recycling footprint. And this is an acquisition that is expected to contribute immediately to the group's earnings and cash flow and also presents significant opportunity to leverage our existing recycling [ rolling ] footprint that we have in the U.S. and internationally. And then as I mentioned, we have also announced the Glencore Merafe JV transaction where we truly look to enhance value from our chrome byproducts at our SA PGM operations. And with that, I'll hand over to Kleantha, who will take us through an overview of the markets. Thank you.
Kleantha Pillay: Thank you, Richard, and good afternoon to everyone. I'm going to talk through 3 slides, and I'll be covering the macros, PGMs and lithium performance over the half year as well as our expectations for the next 18 months. Markets have been overwhelmed by the constant tariff news, which continues to create uncertainty. The cost of goods imported into the U.S. will rise to reflect the tariffs, in turn potentially reducing demand. The U.S. is forecast to have slower GDP growth as a result of these tariffs, although this has been upgraded following this pricing of the spending bill. In the near term, quarter 3 and quarter 4 growth is expected to slow as the impact of tariff front-running phase. Global Data's U.S. light vehicle sales forecast has been reduced by 1 million ounces for 2025 and over 1 million ounces in 2026 to reflect the impact of the tariffs. While this will lower PGM demand, it will also impact used vehicle scrappage rates with cars being kept on the road for longer, putting pressure on the secondary supply. China is only modestly impacted by the tariffs, having reduced their reliance on the U.S. for exports over the past few years. Growth is still, however, predicted to fall short of government's 5% target. Global growth is forecast to slow to 2.6% this year, largely dragged down by the weaker outlook for the U.S. A combination of the weaker U.S. dollar, range-bound yields with expectations of future rate cuts and worsening geopolitical tensions has resulted in strong gold investment demand from the over-the-counter markets, ETFs and of course, from central banks. Gold prices were up 26% in the first half of the year, with average gold trading volumes of $329 billion per day during the first half, the highest for any half year period on record. Broad and sustained conflict resolution, which seems quite unlikely in the current environment could see a moderation in price. More likely, though, should economic conditions deteriorate exacerbating geopolitical tensions, safe haven demand will remain strong. Now moving on to PGMs. The rally in PGM prices, including those of the minor metals is reflective of the tape supply situation in South Africa. Platinum prices have outperformed, driven by lower mine supplies. And looking ahead, local production is expected to fall below the 3.8 million ounce level this year, reflecting the lack of investment over the years, coupled with aging assets. Metal flows were significantly impacted by tariff threats with almost 360,000 ounces of platinum flowing into U.S. ComEx vaults between January and April. Following the delay in reciprocal tariffs and the PGMs being on the list of goods not subject to tariffs, ComEx Volt stocks fell back to the 270,000 ounce level by mid-July. Platinum lease rates have been significantly elevated through the half year, with 1 monthly lease rates moving from just over 11% in January to a July peak of almost 37%. Investor interest in platinum contributed to the elevated demand with more price upside expected compared to gold, and we saw a net platinum ETF inflow of 30,000 ounces during the half year. Chinese platinum imports were up 63% year to June, driven by investment interest and some jewelry manufacturing, which is dominated by gold switched to the lower-cost platinum metal. While positive, Chinese consumer sentiment and the October Golden Week holidays will offer indicators of whether this actually translates into retail success. Palladium demand has also been driven by investment. We saw net palladium ETF inflows of 115,000 ounces in the first half of the year, while more recent high prices have led to some profit taking. Since early August, positions have stabilized around the 870,000 ounce level. The increase in rhodium prices can also be attributed to the tight supply from South Africa as well as more buying interest from auto OEMs. Stocks are clearly depleted, and some OEMs are gearing up for more stringent China 6B testing standards. The demand for ruthenium has been driven by new chemicals capacity in China, and this is the production of caprolactam, which is used to make nylon fibers as well as for the ever-increasing demand for data storage boosted by the AI boom. Ruthenium prices were up 49% in the half year and have since hit all-time highs of $930 per ounce. Global government and defense industry interest in securing niche critical metals has also resulted in emerging investor interest in the mine at PGMs. Over the next 18 months, we again see downward revisions to late duty vehicle production with battery electric vehicles being the most impacted, while hybrid vehicles have been slightly upgraded. We also see some near-term growth in PGM loadings as China gears up for tighter emissions testing standards. Secondary supply is expected to remain largely flat year-on-year, and the higher PGM prices during the first half of this year, together with some consolidation in the U.S. recycling market, resulted in some ordered volumes at U.S. scrap yards being liquidated. However, scrapped vehicle numbers are expected to fall both in the U.S. and Europe following weak new vehicle sales. In Asia, we see some pickup as Japan's new car sales improve and China scrappage incentive scheme lifts volumes. In summary, in the short term, the running PGM price has been underpinned by supply tightness and purchasing for investment and jewelry. Longer- term cyclical trends, as we all well know, are demand rather than supply-driven. And we, therefore, remain rather cautious on prices, though the recent drag has possibly set us a new higher base. The outlook to the end of next year remains positive due to higher hybrid vehicle forecasts coupled with declining primary supply and lower levels of auto cat recycling. We expect to see both platinum and palladium remaining in deficit after 2026, with the rhodium market remaining close to balance. Global growth remains the biggest risk to the forecast. And then finally, let's look at lithium where the market has remained oversupplied and prices during the first half of the year have remained depressed. At the average first half of the year price just over $9,000 per tonne, approximately 1/3 of all lithium supply was unprofitable. The surpluses have been exacerbated by the slowdown in battery electric vehicle demand growth, some as a result of the U.S. tax credits for battery electric vehicles scheduled to end in September. The most recent price movement up to just over $11,000 per tonne in mid-August has come as a result of the Chinese government taking its oversight of domestic lithium extraction, part of a wider push to reduce excess capacity across many industries in China. China's initial focus has been on operations that are underutilized, inefficient and uneconomic and also on those that may not have the correct permits. Many of the Chinese lepidolite mines are uneconomical at current price levels, but have been supported financially through vertical integration. We see short-term price pressure persisting due to oversupply. The sustainability of the recent price value is very difficult to call as it will largely depend on the next steps the Chinese government take. We remain fairly bullish that electrification will continue to drive demand. We're forecasting a healthy 10.7% CAGR for battery electric vehicle production over the next 10 years. And we expect to see lithium deficits later in this decade. This will really underpin incentive pricing for new lithium projects. And now let me hand over to Richard Cox to talk you through the operations.
Richard Allen Cox: Thank you, Kleantha. Hello, everyone. Our South African PGM operations, which continue to deliver consistent, reliable performance are on track to achieve guidance for the third year running, and 8 out of 9 years overall. Total production for the first half of 2025 was 840,000 4E ounces, 4% lower year-on-year. This reflects consistent performance from underground operations at 750,000 4E ounces, in line with the first half of 2024. Rustenburg, up 2%, Marikana, down 1%, while service production was down by 50% to 54,000 4E ounces, impacted by higher seasonal rainfall affecting the entire industry in the first quarter of 2025. Purchase of concentrate volumes from third parties, were also 29% lower at 35,800 4E ounces, in line with revised annual contractual agreements. The second quarter of 2025 production improved 13% over the first quarter across most shafts. Operating costs, excluding purchase of concentrate in Mimosa production, were well contained, increasing by just 4% to ZAR 19.3 billion, which is below inflation, attributable in part to last year's restructuring and closure of high-cost shafts, offsetting additional toll processing costs from Kroondal shift to toll treatment of concentrate in September 2024. All-in sustaining unit costs increased 11% to ZAR 23,900 per 4E ounce, in line with our ZAR 23,500 to ZAR 24,500 per 4E ounce guidance range, impacted by lower production, a 20% rise in sustaining capital mainly at Marikana and 11% lower byproduct credits. Chrome ore sales of 1.07 million tonnes decreased 17%, with revenue down 31% to ZAR 2.2 billion due to 12% lower production of 1.16 million tonnes under heavy rainfall and a 13% fall in chrome ore price to $259 per tonne. Our strategic efforts since 2016 to boost our chrome business have contributed to industry-leading all-in sustaining unit cost. Adjusted EBITDA was consistent at ZAR 4.8 billion year-on-year despite 16% fewer 4E ounces sold, due to smelter rebuilds at Marikana furnaces, 1 and 2 and the consequent lower volumes through the precious metal refinery circuit. This was offset by a 7% higher average basket price of ZAR 26,300 per 4E ounce. We did have a ZAR 1.6 billion inventory buildup partly from Kroondal's pipeline change, reversible of net realizable value adjustments and the smelter rebuilds. And this buildup will be released in the second half of this year. The Marikana K4 project produced 44,000 4E ounces, a 68% increase year-on-year, positively contributing to reduced unit costs at Marikana, with project capital at K4 expected to decline from current levels of ZAR 305 million for the first half of '25 as the project ramps up. Our partnership with Glencore on the Merafe venture will unlock value by accelerating delivery of legacy Marikana chrome ore volumes by about 20 years, enhancing byproduct credits against all-in sustaining costs, and we're awaiting competition commissioning approval. We focused on moving down the cost curve and improving relative competitiveness. Pleasingly, Marikana continues to move down the cost curve as the Marikana K4 project ramps up to steady state in enhancing efficiency. This positions us favorably against peers, underscoring our cost discipline and leverage in the rising PGM environment. The combined Rustenburg and Kroondal operation are moving slightly up the cost curve due to the Kroondal change in toll treatment of concentrate, which added processing costs, but profitability benefits from higher revenue and margins and elevated metal prices, plus chrome ore byproduct offsets. Our low capital intensity brownfields projects relative to peers, such as the Bambanani- Siphumelele project, the Thembelani project, the [indiscernible] project, will continue to improve competitiveness. During the second quarter of 2025, the Board approved the Bambanani-Siphumelele project. This project involves the extension of the Bambanani decline allowing extraction of Siphumelele 2 reserves from low-cost mechanized Bambanani infrastructure . Given the improving production and sales outlook in the second half of this year and the PGM price, which has improved by 23% since the end of May to the current level of ZAR 31,600 per 4E ounce, the outlook for the SA PGM's operations is very positive. Our South African gold operations are highly leveraged to the gold price with an improving outlook. The average gold price received increased 36% year-on-year to slightly more than ZAR 1.8 million per kilogram. And adjusted EBITDA, which includes DRD gold for the first half of 2025 increased by 118% to ZAR 4.8 billion from ZAR 2.2 billion for the first half of 2024. This is the highest since the second half of 2020. The contribution to group adjusted EBITDA increased to 48% from 33% for the first half of 2024 confirming the strategic importance of the South African gold assets in the diversified group portfolio. Production for the first half of 2025, including DRD Gold, declined 13% to 9.3 tonnes of gold. And from managed operations, excluding DRD Gold, production was lower by 14% to 7.1 tons. Excluding DRD Gold, EBITDA increased by 166% to ZAR 3 billion. Capital spend was lower by 16% to ZAR 1.7 billion with the Burnstone project on can maintenance, ore reserve development down 3% to ZAR 1.4 billion and sustaining capital higher by 2%. Notably, and historically, these managed assets unbundled in 2013 is high- cost end-of-life assets with 13.5 million ounces in reserve and an 8-year remainder life of mine have produced 12.9 million ounces over the past 12 years. As stated, our managed gold assets delivered ZAR 3 billion of EBITDA in the first 6 months of this year. Since our ZAR 10 billion market capitalization in 2013, they've generated substantial cumulative earnings far exceeding that evaluation. With another 4 to 10 years ahead, these are functional and viable assets that have delivered outstanding returns. Driefontein operational performance improved during the second quarter of 2025 with gold production 32% higher compared to the first quarter after a January fire and March stock note by Section 54 order delayed ramp-up at the [ Flanganani ] fire shaft. Seismicity in high-grade VCR stopes also led to crew reassignments to lower grades. At Beatrix, we've built up the stockpile all ahead of the metallurgical plant due to ongoing upgrades and infrastructure constraints that have temporarily reduced throughput. This includes approximately 28,000 tonnes containing around 92 kilograms of gold, which we expect to process fully during the second half of this year. Overall, the mine itself is performing very well. And rather, the targeted improvements to the leach and carbon regeneration circuits that have necessitated this reduction in processing capacity leading to the temporary build out. Turning to Kloof. Our operations faced a tough first half of 2025 primarily driven by increased seismicity in high-grade isolated blocks of ground along with infrastructure limitations in the shaft or parts and ventilation systems at 2 coning shaft. These issues have resulted in stop-start operations that further impact stability of production. Compounding this with two significant incidents. The tragic fatal accident at 1 Shaft in January, together with the Section 54 stoppage resulting in a loss of about 25,000 ounces and a shaft incident in May at the 7 shaft causing a further loss of roughly 2,000 ounces. Throughout though, our decisions have been guided by a strong emphasis on safety and the sites limited operational flexibility. Longer term, current life of Mine is currently under comprehensive review to optimize the plan for long-term sustainability and commercial viability. All the while holding our unwavering commitment to safe production practices. Gold wage negotiations started in mid-July this year and are progressing constructively to date. Production and all-in sustaining cost guidance for the managed operations for the full year has been revised to between 15 and 16 tonnes and between ZAR 1.45 million and ZAR 1.55 million per kilogram following the first half performance and constraints at the operations. Our Burnstone project is being evaluated in the current high gold price environment together with funding options for value. Turning to DRD Gold, stable operating performance supported by higher gold prices have boosted earnings. Production decreased by 8% to 2.27 tonnes of gold for the first half of 2025. All-in sustaining costs increased 15% to ZAR 1.08 million per kilogram. Adjusted EBITDA grew 70% year-on-year to ZAR 1.8 million for the first half of 2025. This strong result enabled a final dividend of ZAR 0.40 per share for the year ended 30 June 2025, with around ZAR 178 million accruing to Sibanye-Stillwater. We thank DRD Gold for this dividend and the consistent cash flow the company provides. Our investment in DRD Gold circular economy model continues to deliver reliable earnings across market cycles. Looking forward to the second half of the year, we expect improved results from Driefontein and from Beatrix, with Kloof operations under review. Encouragingly, with third quarter average gold price to date at slightly more than ZAR 1.9 million per kilogram, 7% above the first half, if sustained, further profitability gains are anticipated. I'll now hand over to Charles from the U.S. operations.
Charles Carter: Thank you, Richard. Our Montana PGM operations for the half year 2025, we produced 141,000 ounces at an all-in sustaining cost of $1,207 an ounce. This was in line with our plan, which as compared to our performance pre-restructuring late last year, saw a 41% decrease in all-in sustaining costs and a 52% reduction in total capital to $45 million. We had several disruptions during Q2, one of which was commissioning of an electric furnace #2 in Columbus, which resulted in an inventory lockup of approximately 5,700 ounces. This is cleared post quarter. As you'll see, adjusted EBITDA for the half year was $151 million. Richard Cox showed in the industry cost curve in his presentation that the Stillwater assets are currently sitting in the middle of the pack, whereas a year ago, we were the highest cost producer in the industry on the same graph. The team has done significant work to affect the shift and our intent is to keep moving down the cost curve, but to get to a consistent $1,000 an ounce cost character in these Montana operations from our current run rate of just under $1,400 an ounce before the Section 45X credit is going to take several years and requires a large number of changes from equipment through to debottlenecking all aspects of the mining and ore handling process in both Stillwater and East Boulder. That work is underway. It's looking good. We have a lot of heavy lifting to do to hit that aspirational target, but I think we're well on the way, and we'll talk to that as we go in the future on the plan for next year, et cetera. Section 45X of the Inflation Reduction Act saw a benefit for the mining operations of $159 million credited to costs in the half year. The impairment of 238 million was not related to operations, but rather was due to a change in accounting treatment from the original evergreen treatment of Section 45X in the original Inflation Reduction Act to it now being phased out from 2031 through to 2034 with a 25% step down each year. Our treatment of Section 45 in our books has followed the letter of the law from the original inflation Reduction act now to revisions on the newly promulgated Big Beautiful Act, which revised tax and spending policies in the U.S. We will be making our formal 45X submissions with revised tax filings during the second half of this year. We would expect the cash flow for the 2023 filing and the 2024 filing years to be realized next year in 2026. You will have also seen that together with the United Steel Workers, we recently filed an antidumping and countervailing duty petition against unwrought Russian palladium imports into the U.S. The petitions were filed with the U.S. Department of Commerce and the U.S. International Trade Commission. The goal of U.S. antidumping and countervailing duty law is to ensure that domestic producers can compete on a level playing field by addressing the market distortions caused by unfair trade practices elsewhere. These investigations by Commerce and the ITC should take approximately 13 months, though preliminary duties and determinations are expected in the next 3 to 5 months. The heavily subsidized Russian imports have been sold below market prices since 2022. And at the very time that we reduced annual production at our Montana operations by 200,000 ounces and cut 700 jobs because of low palladium prices, Russian imports stepped up into the U.S. Imports of unwrought palladium from Russia into the U.S. increased by 35% from 2022 to 2024 and increased by another 50% in the first quarter of 2025. It is this unfair trade practice specifically that we are addressing with the trade remedies that we have available to us in the U.S. In handing over to Grant to talk to our recycling business, let me just note that while auto cat recycling remains subdued in the U.S. and hence impacts our Columbus recycling business, our move into industrial scrap and e-scrap recycling through Reldan is performing above plan, which is very pleasing to see. We are also excited to add metallics to this platform in the near future, which will allow us to unlock further synergies as we build out a substantial critical minerals recycling business that is complementary to our U.S. PGM mining business. Thank you.
Grant Stuart: Thanks very much, Charles, and good day, everyone. Our recycling journey in Montana began over 2 decades ago when spare melt capacity was first leveraged to process spent autocatalytic converters. What started off as an efficiency initiative has evolved into a strategic platform. Since acquiring Stillwater in 2017, we have deliberately strengthened and expanded this capability, transforming Columbus into the cornerstone of our recycling business and the springboard for broader growth. While the global auto cat recycling market remains under pressure with macroeconomic factors extending a vehicle's life on the road and thereby limiting short-term volume recovery, Columbus continues to form as a stable cash-generative platform. In the first half of 2025, average daily feed was 9.6 short tonnes per day, slightly below the prior year due in part to market factors, but also due to the transition to a second furnace, which resulted in a temporary inventory buildup of 147 tonnes containing an estimated 12,000 3E PGM ounces. With the electric furnace now operational, inventories are expected to normalize in Q3 of 2025. Together with the $126 million of Section 45X credits that Charles has just mentioned, Columbus delivered an adjusted EBITDA of $129 million or ZAR 2.4 billion. As part of our growth strategy, we acquired Reldan 15 months ago. Reldan has been a successfully integrated entity into our organization and delivered $20 million in operating cash flows year-to-date, equating to an adjusted EBITDA of $18 million or ZAR 330 million. Reldan is structurally well positioned underpinned by strong Fortune 500 customer base, a disciplined operating model with a sharp focus on cost management and a suite of industrial and precious metals. Year-to-date, we have processed 8.6 million pounds of industrial scrap and waste and sold 64,000 ounces of gold, 933 ounces of silver, 20,000 ounces of PGMs and 1.5 million pounds of copper. Most recently, we announced the acquisition of Metallics. Now Metallics further strengthens our value proposition by adding scale, advanced processing technologies and logistics and a logistics fleet that extends our sourcing reach across the U.S. Together with Reldan, we will have presence in Mexico, India, the United Kingdom, South Korea and Taiwan. Metallics brings increased volumes of gold, silver, PGMs and copper and like Reldan, is expected to be cash generative from day 1. So what we have now is a platform with real structural integrity and reach. Our auto cat platform is the mature foundation with PGM scale, dependable assay capability, quick turnaround times and a business with integrity and reputation. Reldan as a diversification engine with a geographic reach and competence and scale in gold and silver and now Metallics as the accelerator of scale and innovation. It is expected that the transaction will close in September now that we have all regulatory approvals in hand. In conclusion, this is more than a series of acquisitions. It's a strategic convergence that redefines what's possible in precious metal recycling and positions us uniquely to shape a cleaner, greener future. Thanks, and over to you, Robert.
Robert Van Niekerk: Thank you, Grant, and hi, everyone. I'm pleased to report that the Australian operations had a good start to 2025. They produced 51,000 tonnes of payable zinc metal, which is a 22% year-on-year increase. This level of production even exceeded my own expectations and was thanks to less rain this year compared to last year and also the successful implementation of remedial measures to address risk excess of rainfall. As one would expect, with an increase in production, costs come down, and the unit costs this year are 21% lower than for the same period last year. The H1 good performance was supported by an 11% increase in the average zinc metal price and increased from $2,366 a tonne in 2024 to $2,626 per tonne in 2025. Worthwhile mentioning is the treatment charges, which were less than 50% of what they were last year, this in part due to the industry benchmark, which was lower, but also the team capitalizing on very lucrative spot sale agreements in the first half of this year. Increased metal production, reduced costs, higher metal price all contributed to an adjusted EBITDA of $36 million, which was significantly more than the $19 million loss of 2024. Looking at the remaining 6 months for the year, we've hedged approximately 60% of our zinc, which we can produce, and this at a cap and a floor of between AUD 4,900 per tonne and AUD 4,100 per tonne. And this, coupled with a decent performance, is going to assist us to contribute very significantly to the organization again. Closing out with the development projects, the feasibility study for the Mount Lyell copper project in Tasmania is progressing well, and I'm expecting it to be finished before the end of this year. And then the phosphate feasibility study, which uses the Century existing infrastructure, is expected to be finished in the first quarter of next year. At this point, I'll hand over to Mika. Thank you very much.
Mika Seitovirta: Thanks, Rob, and hi, all. Greetings from Finland. We have 2 strategic projects in the region Europe, which are classified as strategic by the European Commission, and it's obviously related to Critical Minerals Act. We are quite proud of that. Although market for lithium is currently challenging, we can see that the electric vehicle volumes are growing again in the region Europe. If you look at Q2 sales numbers, it was almost 30% positive year-on-year. Our long-term view about EVs and lithium has not changed. We see it very positively. And what we can say also is that particularly when we are having the pole position to enter the lithium hydroxide market in Europe, so we are confident that that will give us longer term a lot of opportunities. We are on schedule, and we are also on the CapEx plan, which was revised just some time ago to EUR 783 million. As you can see, EUR 577 million so far has been used, and we haven't changed the guidance for the total year '25 on this one. It's still EUR 300 million. The permits are in place for us to start. And we did an impairment because of the lithium price outlook being more challenging than what it was before. This impairment is about 35% of the value. Currently, we are working on different options, different financial scenarios, different risk management actions, how to mitigate the risks during the ramp-up but also looking what is the most responsible way of ramping up and starting this operation for all the stakeholders. Let's then move to Sandouville France. Actually, we are working on 2 streams there. One is about history, and the other one is about future. We have ramped down the current production during H1. And we are now preparing Q3 for care and maintenance, and we continue that Q4. And at the end of the year, we are going to be in care and maintenance. The future work is obviously about GalliCam. And GalliCam project is now going forward in a good way. We believe that we can finalize the pre-feasibility study around the year-end. Maybe just a few words about the ramp-down of the current production. We have been following the plan, and the plan was to ramp it down at the end of H1, and we are there. We have also agreed already with 72 out of our 200 head count to leave the company still during this year. We are negotiating with the unions in good faith to do further reductions in order to reach the care and maintenance position at the end of the year. What does it mean? We are targeting, give and take, to 60 in this headcount reduction, and half of that would be care and maintenance and the other half is GalliCam project. About GalliCam, I said it's advancing well, and we have very good encouraging results from the lab tests. The pCAM product is not yet ready. We are still working with the density of the product. We are going to do tests in the cells and so on. But the research and development work together with the engineering work is progressing well. We are also looking for possible partners to mitigate the risks further and to make sure that we are part of the right ecosystems if we make the decision after the feasibility study to continue. So thank you very much all. And over to you, Charl.
Charl A. Keyter: Thank you, Mika, and good afternoon to all participants on the call. It is my pleasure to take you through the financial results for the 6 months ended 30 June 2025. Group revenue decreased by 1% to ZAR 54.8 billion with increased commodity prices offset by lower volumes. Cost of sales decreased by 20%. However, if we normalize for the impact of Section 45X for 2023 and 2024, it reduced by 11% or ZAR 5.4 billion. EBITDA increased from ZAR 6.6 billion to ZAR 15.1 billion. And if we normalize for the Section 45 impact of 2023 and 2024, it increased by 60% to ZAR 10.7 billion. Moving on to impairments. The U.S. operations realized an impairment of ZAR 4.2 billion, and this was due to the Section 45X credit phaseout in 2034, which was clarified in the One Big Beautiful Bill Act recently enacted in the United States. Previously, this legislation had an evergreen time frame for Section 45X. The impairment at Keliber of ZAR 5.3 billion was predominantly due to changes in economic factors, most notably the lithium price assumptions. At Mimosa, we also booked a ZAR 461 million impairment due to the increased operating cost and capital and the introduction of the Zimbabwean beneficiation tax on platinum. The net impact of all of this was a loss for the period of ZAR 3.9 billion, but it turns into a profit of ZAR 1.9 billion if we exclude the noncash impairments and the historical Section 45X credits. Headline earnings per share increased from ZAR 0.10 per share to ZAR 1.90 per share or a 19x increase. On the dividends, as mentioned by Richard, due to the current volatile global economic and geopolitical environment, we felt it prudent not to pay an interim dividend. A decision will be taken at the end of the year once we've had some time to see if the commodity price performance is sustainable. Turning to our debt position. Gross debt increased to ZAR 40.2 billion from the December 2024 reported number of ZAR 39.4 billion. Net debt stands at ZAR 19.2 billion, and available cash was ZAR 21 billion, and available liquidity, which includes our undrawn facilities, is just under ZAR 47 billion. On the bonds, we remain on track to refinance the 2026 $675 million notes in half 1 2026. At this stage, we are targeting downsizing the notes to $500 million. Also pleasingly, the 2028 $500 million convertible bond is now in the money as the share price have been trading well above the conversion price of approximately ZAR 24 a share. Just to note that this convertible bond is callable in November 2026. I will now hand over to Melanie Naidoo-Vermaak to provide an update on our renewable energy portfolio. Thank you, Melanie.
Melanie Naidoo-Vermaak: Thank you very much, Charl. Good morning, good afternoon and good evening to all our attendees. As Neal and Richard have often emphasized, sustainability is a principle and one that's deeply embedded in the group's strategy, its operations and values. Our sustainability framework comprises several key pillars, with our commitment to decarbonization being one of the most critical. The group's renewable energy program is our most powerful lever for decarbonization given that 92% of our group emissions originate from Eskom. And through the development of our large-scale solar and wind projects, alongside innovative energy solutions, we're actively reducing our emissions, we're lowering our operational costs and strengthening energy security. And the milestones achieved this year demonstrate that we are firmly on track to meet our 600-megawatt renewable energy target by 2027. At the end of March this year, Castle wind farm entered commercial operation, already giving us 56 gigawatts of clean energy with a ZAR 21.6 million cost saving for the South African region. And our Springbok solar facility is undergoing grid compliance certification as we speak, and we expect our first energy from that project in the next few days. The graphs on this slide show our growing portfolio of privately developed renewable projects, which, when fully operational, will get us to the 30% substitution of our utility energy supply by mid-2027, and that would reduce our annual emissions by 1.5 million tonnes of CO2 equivalent. These projects, coupled to our pipeline in development, gets us to that 600-megawatt target by 2027, driving tangible progress toward a more sustainable and resilient energy future. Thank you. Richard, handing back to you to conclude.
Richard Andrew Stewart: Thank you very much, Melanie. So I think just to move us into a final conclusion for today's presentation. I think as mentioned earlier, most of our operations are still well within guidance, and we look forward to a very constructive second half of 2025. The only guidance that we are revising in line with, as I discussed, the review of the current [ turf ] operations, is our South African gold guidance, which has been revised down from 16 to 17 tonnes of gold to 15 to 16 tonnes of gold at all-in sustaining costs of between ZAR 1.45 million and ZAR 1.55 million per kilogram. The balance of guidance, as I say, remains unchanged from what we put out earlier this year. Thank you very much to all of my colleagues for the detailed presentations given. So I think in conclusion, as you can see from both the heading as well as the strap line on the slide, our immediate focus is very much on prioritizing safe production, optimizing our margins and ultimately continuing to strengthen our balance sheet. As described earlier, I think we have a unique asset portfolio and are very well strategic positioned to not only survive but thrive in the very turbulent market conditions we currently find ourselves in. Our production turnaround has been pleasing post the repositioning and restructuring and good progress made on eliminating fatalities, albeit that still remains our #1 focus. Our improved operational performance has underpinned the financial turnaround that we have seen over the last 6 months. And today, most of our operations are either generating positive cash flow or very close to it, and we expect to see that turning during 2026. The closure of Sandouville later this year will continue to reduce losses further from that operation. And as we move through the peak funding of both Keliber and K4, we look to a higher cash flow conversion and that benefiting our overall gross debt position. The significant Section 45 payments, we look to that cash coming through in 2026, again, benefiting the balance sheet. And today, we remain very bullish on gold given the current market dynamics and are cautiously optimistic about the outlook for PGM markets, fundamentally remaining very bullish in the medium term but in the short term remain focused on the fundamentals coming through. I think our balance sheet is healthy. We have a low leverage. We have ample liquidity and sufficient debt headroom with a derisked debt maturity ladder ahead of us. We have been responsible with our capital allocation during a very difficult cycle, both managing to preserve the balance sheet but at the same time investing to ensure the longevity of our business. Overall, the outlook for the second half, particularly if commodity prices remain where they are, is extremely positive both on an operational and from a financial perspective. But we recognize that our absolute focus needs to be on what is within our control. It means a sustained safety improvement combined with operational and cost discipline, which will remain our absolute core focus. Thank you once again for joining us today, and I'll now hand over to James to manage any questions you may have. Thank you.
James R. Wellsted: Thanks, everyone, and well done, gents, for the presentation. Starting with a question from Arnold Van Graan from Nedbank. Richard, you had some challenges at the SA gold ops. Have we seen the brunt of the impact of these challenges, I assume, meaning end? And when do you expect the operational performance to stabilize? How should we think about the SA gold production and CapEx profile over the next 2 to 3 years?
Richard Andrew Stewart: Thanks very much for that question. So I think as we mentioned, I do think that both Beatrix and Driefontein have stabilized. I think always important to remember, and that's the point we were trying to highlight, assets of this size, when they get to this point in their lives, are very operationally geared. And of course, they don't have the levels of flexibility that they had 5 or 10 years ago. But certainly, those 2 operations seem to have stabilized well. I think our major challenge has, of course, been the Kloof operations. And on the back of the seismicity and some of the decisions we've made around what we will not consider mining predominantly from a safety perspective and the infrastructure that we've got there, we are undertaking that review to understand what Kloof's outlook looks like. So I think to try and give you some sort of high-level numbers, I think what we can expect over the next couple of years, Driefontein is probably going to be producing in the region of 8 to 8.5 tonnes of gold or, let's call it, 0.25 million ounces-odd. I think Beatrix is probably around half of that, so about 4 tonnes of gold, 125,000 ounces. Kloof has historically been doing and expected to do in the region of about 5 to 6 tonnes. I think we can expect to see that probably halving based on what we have seen, but that is the work that we are finalizing and will come to the market with in the near future. So I'd be saying from our underground operations going forward, probably in the region of about 475,000, 480,000 ounces per annum. Of course, we've obviously got our surface operations in DRD on top of that. I think the CapEx question is a good one. If you go back and look at our capital profile over the years, it's been pretty consistent at about ZAR 3.5 billion per annum over the last few years, excluding project CapEx. And again, as I say, these are large operations with a lot of fixed infrastructure. Most of that goes into sustaining that fixed infrastructure. So we've sustained that throughout, and that won't change. I think sustaining capital in terms of that infrastructure is almost irrelevant in terms of the total volume you're outputting. So I would say you can expect the capital to remain roughly the same at about ZAR 3.5 billion per annum.
James R. Wellsted: Thanks, Rich. I must say it does look like some of these analysts and investors are a bit quick off the trigger because they're asking questions that were covered in the presentation, but all my hard work done for nothing. Just first one from René Hochreiter on, congrats -- and I'm not directing that at René, by the way. Congrats on the Section 45 benefits -- 45X benefits. Can you expand on how you can get costs down below $1,000 per ounce at Stillwater? Rich, do you want to take that or hand it to Charles? Charles?
Richard Andrew Stewart: Charles, would you like to comment on that one?
Charles Carter: Yes, sure. Thanks, James and Rich. And thanks, René, for the question. So I think the short answer is there are no immediate silver bullets. This is a shift over time. It's one that we've done a lot of work on and continue to work on. I think when you look at both Stillwater East and you look at East Boulder, there are 2 big shifts over time that you need to effect. One is to fully mechanize cut and fill, and the second is to increase sublevel extraction. Now we've done recently some really good internal work on mining cycles. And what that shows you is that time spent at the face is largely related to bolting, 36% on average, and secondly, mucking, 21% on average. And if you're looking to address that, we've done a number of things. One is we trial in a fully mechanized bolter. What this does is it increases your height and length of each round. So you get some dilution with that, but you potentially get a lot more ounces per blast cycle. Now if we get that right and the early trials on a Komatsu mechanized bolter at Stillwater East are good, then there's a knock-on effect you have to address because you now have higher tonnage and volumes. You've got to look very carefully at your ore handling. So we've got some debottlenecking to do there certainly at Stillwater. At East Boulder, you've got a different dip angle on the ore body. So you've got to go with a smaller bolter. So all of this work is daylighting the fact that there is a real opportunity set here to realize lower cost, improved productivity, enhanced mining cycles. But as you increase ounces, you've now got to look very carefully at your tailings capacities and so -- and your rock dump capacity. So what we've done at East Boulder through this year is we've deferred some capital spend on those expansions. So there's a kind of -- there's a confluence of factors that have to be worked quite carefully. Now we absolutely know we can get towards $1,000 an ounce over a couple of years if you work all of these different components, and you start to spend back the capital to enhance the tailings capacity particularly at East Boulder. So that trade-off work is underway. I think by year-end, we'll have that well in hand. We will be guiding the market early next year on what that looks like near term. I hope, René, that addresses the key aspects of your question. And then if you -- moving towards sublevel extraction on greater opportunity sets, then there's a lot of geotech work we're busy doing to understand how that can work most effectively. So it's work in hand. And then we've also done really good work at the back end on the mine planning, introducing a digital twin capability. So I think our sort of trade-off optimization work is a step change from where it was a year or 2 ago. When you put this all together, I'm quite comfortable when we start talking to this early next year, we'll have a good roadway. Again, it's not a 1-quarter wonder, so this is going to take 2 to 3 years to really get that right. Thanks.
James R. Wellsted: Thank you, Charles. The next question is from Lorenzo Parisi at JPMorgan. Again, I think these are answered or were answered in the presentation, but how confident are we to receive the $285 million actual cash inflow next year from the Section 45X credits? Would we expect to receive additional Section 45X credits in future on top of the $285 million? I think Neal indicated a fair value that was quite sizable from future Section 45X credits. Can you remind us of the expected CapEx for next year? And then at current prices, would you expect to generate free cash flow next year but also the lower CapEx spend but excluding Section 45X credits? I think that's probably for Charles.
Charles Carter: Thanks. Look, on 45X, I mean we're following the letter of the law. We're doing our tax submissions and revisions in the second half, and then it runs a process. So it's legislated. We are still first cabs off the rank on this. So until we get the check in the mail next year, I'm obviously cautious, but there's nothing that suggests you wouldn't get that. So hence, our current accounting treatment. But I think the whole industry is now navigating the early submissions on 45X. So there's a look back for 2 years, and that's what we've been dealing with in the numbers today. And then there's obviously a look forward over the next several years. So it's a very material positive addition to U.S. critical minerals mining. And I think it's one that we've been very directly involved with in the prior administration and also with the current administration to make sure that it works well. So I think the mechanics are mapped out in law, I think the process is there, and we are busy navigating that. So we expect the cash returns next year. James, just remind me of the second part of the question, please?
James R. Wellsted: Okay. Let me just get back to the...
Charles Carter: Oh, it is capital. So we will guide capital at Stillwater next year with our market release once we've got it through our executive and Board on the late year planning submissions. And on pricing, so we've seen positive movement in particularly palladium in the last couple of months. Obviously, we can't bank that yet. We would expect that to keep firming. So I think once you get into a 2E price that's in the $1,200 to $1,300s and given all the heavy lifting we're doing to improve operating efficiency cost -- and cost structures, then the net of that is you start to return to positive cash flow, and that is absolutely our intent. Exactly the timing of that, it will be price-dependent, and it will be dependent on all the work we're doing to move down the cost curve. And as we've tried to demonstrate, there's been a real shift in the last 12 months, and we continue on that journey.
James R. Wellsted: Thanks, Charles. Sibanye Stillwater has announced it will acquire U.S. precious metals recycler Metallix in a deal valued at $82 million in cash. When shall this be finalized? And will this affect the 2025 figures and how? What is the sense -- okay, maybe that's the first part of the question. I'll ask the second part later. Charles, do you want to take that?
Charles Carter: James, I think let Grant go. I mean I can address it, but it'd be good for Grant to work with it. Thanks.
Grant Stuart: Yes. Thanks, James. Thanks, Charles. The deal, the transaction is looking to close towards the back end of this month. So yes, we're looking towards September for the welcoming of the Metallix team on board. As far as the strategy goes and the integration, we're looking at clearly optimizing and making sure that we realize synergies from that. So we expect that the operation will be cash-generative from day 1, together with the synergies and optimization opportunities definitely impacting positively the financials for '25.
James R. Wellsted: Thanks, Grant. The second part, I'll guide to Richard, is what is the sense in the longer term for Sibanye Stillwater when thinking about the strategy of the company?
Richard Andrew Stewart: Thanks very much, James. If that relates specifically to recycling, I'm not quite sure, but let me just answer that. I think strategically, recycling is a critical part of our business that we've always discussed in terms of getting exposure to the circular economy. I think it gives us exposure to many different critical metals that -- very quickly and at a relatively low capital cost. And I daresay that recycling is becoming increasingly important in the world, not only from a footprint perspective but also in terms of being a source of quick supply of local critical metals in terms of security of supply for certain regions. So recycling certainly still remains a core part of the strategy, and it is a nice steady margin business for us. I think if the question related more to the general strategy of the company, I think as we have shared before, we don't see a significant shift in the strategy coming. I think hopefully, as you would have picked up from the presentation, our immediate focus and short- term focus is very much on our operational excellence, on increasing margins and, of course, continuing to strengthen the balance sheet. But in terms of long-term strategy, we will continue to review and refine that together with our Board to take into account the environment we're operating in, but we certainly don't see significant or massive changes coming in that regard. Thanks.
James R. Wellsted: Thanks, Richard. While we're on the topic of recycling, this is from René Hochreiter again, what PGM incentive basket price do you think is needed for recycling to return? Are current spot basket prices of around $1,700 per ounce higher than this incentive price? Richard?
Richard Andrew Stewart: René, thank you. So I don't think it's quite as simple as looking for a trigger price. I think that's oversimplifying it. This is obviously a significant business we've been in for a while. I think as I've shared before, in my mind, there are probably 4 big drivers to ultimately what drives recycling. Price does play a role, tends to play more of a role sort of higher up in terms of -- higher up in the value chain sort of at a collector level. I think as you get lower down in the recycling chain, it is more of a margin business, but that's really the fact that price plays. I think much bigger drivers really go around scrappage rates of vehicles. And of course, that is far more linked to macroeconomics. I think another big driver is interest rates. Recycling business is working capital-intensive throughout the chain, and interest rates tend to have a -- can eat a lot into those margins. So that's quite a big driver. And then the final one is supply chain efficiencies. And certainly, I think more globally, we have seen a lot of breakdown in those supply chains over the last few years. And I think that will continue to make it a bit more disruptive or more expensive to move material around the world. So I think it's a combination of those rather than necessarily looking for a single price trigger point at which we can expect a return. In terms of the market, as we've said before, many of those actually work in reverse to the drivers of primary demand, so you tend to get an overall balanced market. Thanks, René.
James R. Wellsted: I can just say that a lot of the market forecasters have been expecting recycling to recover for the last 2 or 3 years but no sign of it yet. This is from Nkateko Mathonsi. Can you give guidance on the life of mine of Bathopele and the surface operations at SA PGM? Do you plan to open up new tailings dams? I guess that's a question about capacity of our tailings dams. Richard?
Richard Andrew Stewart: Nkateko, thanks very much. I think the life of mine at Bathopele is about 4 or 5 years that is remaining there. I think in terms of the surface strategy, that's a good question. I think at the moment, we currently have official reserves of about 2 years, if I'm not mistaken, in that sort of ballpark. They are quite short life, and that's been intentional in that we've really just continued with those operations almost year-to-year. I think as we have alluded to before, and this is also where some significant value from the potential future partnership with Glencore- Merafe can play a role, is we have been working on quite a significant surface strategy. We do have significant tailings dams that still contain both PGMs and chrome. And that is a strategy that we will be -- or a project that we'll be looking to finalize towards the end of this year and probably will be coming to the market with that early in the new year. But we do have significant surface resources, which do have a lot of value that we are looking to unlock. In terms of new tailings capacity, we have got plenty of capacity either on existing tailings or within permitted footprints for -- really for the life of our current operations. So happy with the deposition capacity we've got, but certainly, we are looking at a much bigger surface potential similar to what we've unlocked in our gold operations that will be coming to market in the near future.
James R. Wellsted: Thanks, Richard. Another one from Nkateko. Richard talked about higher cash conversion as the CapEx spend on Keliber and K4 started to conclude. Does it mean M&A is no longer a priority in the -- I think she probably means as we generate more cash, are we going to spend more on M&A? Richard?
Richard Andrew Stewart: Thanks, James. Nkateko, let me answer your question. I think James put a different twist on it there, but let me just, I think, be clear on the view. Listen, I think importantly, M&A has always been part of the DNA of the company. I think we have shown how we've been able to create significant value through it over the years, and I think it will continue to be part of the DNA going forward. Importantly, of course, is the timing of how you grow, when you grow. And that's driven by a multitude of factors, a lot of which is obviously dependent on your current strength and ability as well as value propositions that may be out there. So I think to give you 2 short answers, M&A will remain part of the DNA of the company. But in the short and medium term, as we've highlighted, our current focus is on our existing operations, optimizing margins, and we do have some brownfield projects which we've committed to, and that will remain our focus for now.
James R. Wellsted: Thanks. And I hope my twist was right, but apologies, Nkateko. This one from ING Bank. And moving on to Keliber questions. What does the responsible start of Keliber refer to, if I may ask? Is it related to mine or the refinery part of the project producing lithium hydroxide? Richard?
Richard Andrew Stewart: Yes. Thanks very much. I think as you've quite rightly pointed out, Keliber is very much an integrated project. So it comprises a mining operation, concentrator and refinery. I think if we step back and look at the project overall, as mentioned, this is the only current refinery in Europe and one of very few outside of China. And I think we remain very bullish on the lithium price in the long term. But the prices are very depressed right now, and to commence operations at a significant loss is just not something that we believe is in the best interest of all stakeholders. So we are evaluating multiple opportunities. Some of them include potential revenue drivers because this is such a critical project in Europe. Are there opportunities where we can get competitive pricing to recognize that opportunity? And others may include either phased or much slower ramp-ups. These are all the options that we are looking at responsibly, and that's what we mean by responsible start-up. But at current spot prices and where it has been right now, our focus is to ensure we minimize risk and minimize losses to all stakeholders. Critically, we do recognize, of course, as well that there are multiple stakeholders included in this, various financiers and, of course, within the projects themselves, and all of that will be taken into consideration as part of these decisions.
James R. Wellsted: Thanks, Richard. A question from Alexandra Symeonidi from William Blair. What do we expect the production cost to be at Keliber? And where do we expect it to be in the global cost curve? I'll direct this over to you, Richard, first.
Richard Andrew Stewart: Thanks. I think at the moment, of course, it does depend on how we ramp up and the timing of that. But roughly speaking, the total cost at the moment, you're looking at about $12,000 to $12,500 per tonne. That would put us in the -- currently in the fourth quartile of existing projects today. What is important to look at, and I think that's why we're looking at it carefully, is what future cost curve looks like when we start looking out a few years, and that does become competitive. But I think that also does set some sort of target of where we'd be looking for the market to be as we move forward.
James R. Wellsted: Thank you. From [ Bradley Beerwinkel ], a retail investor. Please talk about the uranium business progress, Neo Energy, as well as the tailings. What is Greg Cochran cooking up? Sorry, that's a pun on Cooke dump, but okay. How much zinc is still left in the dumps and in the ground at Century? And are there any mine developments surrounding the underground pipeline at Century? Does the Mount Lyell feasibility focus include recoveries from the historical waste dumped into the river? Rich, do you want -- did you get all those? Or should I ask them one by one?
Richard Andrew Stewart: I think, James, if I could, let me tackle the uranium ones and then perhaps if you could just pick up on the others. So I think just on the uranium side, as you correctly mentioned, we are in a sales process of Beatrix 4 to Neo Metals. That process is continuing. We are awaiting some regulatory approvals in that regard. So that is in process. The Cooke tailings project, which is obviously a significant uranium resource, we are looking for that feasibility to be completed towards the end of this year, and then we will see how best to progress with that project. But certainly, it is a significant project and a significant resource where we do believe there will be a lot of value coming from that, but that will be driven by the outcome of the feasibility later this year.
James R. Wellsted: The next -- yes, so the other 2 questions were around Century. How much zinc is still left in the dumps and in the ground at Century? And then are there any mine developments surrounding the underground pipeline at Century?
Richard Andrew Stewart: Thanks, James. Let me have an initial comment, and Rob, if you'd like to add anything. But in terms of resources, we've got roughly 2 years' worth of the zinc operations remaining in those tailings dams. And yes, there are significant resources surrounding that infrastructure, in particular, phosphate. And that certainly could be an opportunity to utilize that infrastructure going forward. It is a feasibility study that we are working on with the owners of that project. Probably worth noting that phosphate was recently included in the critical minerals list that was recently published in the U.S. But yes, there are the resources around that.
James R. Wellsted: And then a question on Mount Lyell. The feasibility focus, does it include recoveries from historical -- this is waste dumped. I would have said tailings deposited into the river.
Richard Andrew Stewart: Not as far as I am aware, but perhaps, Rob, could I ask if you've got any comments to add to that?
Robert Van Niekerk: Richard, I can confirm you are correct. The feasibility study deals only with the underground operation. Having said that, any surface sources, whether in waste material or surface tails, will and can be -- can and will be considered as optimization to the feasibility study. But the study expected by the end of the year only focuses on underground material. Thanks.
James R. Wellsted: A question from Siphelele Mdudu from Matrix. Are you not worried that this inventory buildup will be released in H2 2025 comments -- will put downward pressure on PGM prices in the near term as it seems that the industry has built up inventories? Richard?
Richard Andrew Stewart: Thanks very much. No, I think, is the short answer. I think what's really driven up the price is, yes, I think some of the supply shortage that came out, particularly during Q1 out of primary production in South Africa, did -- was one of the triggers to prices moving. But I think that that's something that's been well understood and modeled. Overall, primary supply continues to decline. So I think these are short movements. More of a driver to what we've seen in terms of the commodity price increases has been the investment buying and the increased buying particularly going into China, as Kleantha mentioned. So I don't think the release of inventory coming -- I think there are a few companies, as you quite rightly mentioned, where we're seeing inventory coming out in the -- over the next few quarters. But I don't think it's big enough to materially move the market, no. And much of it does come out over an extended period of time. I think the bigger fact is that overall primary supply continues to decline at the moment particularly out of South Africa over the coming years.
James R. Wellsted: The next question from [ Antoine Dassault ]. The question is on GalliCam about timing, CapEx, installation, R&D work, et cetera. So I think we've said in the book that the pre-feasibility study is going to be done by the end of the year. And obviously, those numbers will be revealed after that. So I don't think we'll carry on with that question. There was a question from William Blair as well. Sorry, I missed what Charles said. Is there a plan to tender part of the '26s to reduce them to $500 million ahead of H1 2026 when you plan to refi? Or did Charl mean that the new bond will be $500 million, I guess? Thanks.
Charl A. Keyter: Yes. Thank you. And no, we are -- we do not have any plans to tender the bond before H1 2026. The plan is to use some of our excess liquidity and launch a smaller $500 million bond. As Richard has explained, there is a focus on gross debt reduction. And if you look at our debt, it's really chunky, really consists of 4 blocks being the 2026 bond, the '28 convertible, the '29 bond and then the Keliber debt. So we don't get a lot of opportunities to address the chunkiness of the debt. And that's why at this stage, the planning stage, we are considering a $500 million bond to be issued in half 1 2026. Thank you.
James R. Wellsted: A question from [ Joe Mahaka ]. The company has not been profitable since 2022, which was when the downturn in the commodity prices happened. It seems 2025 will be a third year in a row making a loss. I don't think that's strictly correct. But when do you expect the company to become profitable again? Richard or Charl?
Richard Andrew Stewart: Charl?
Charl A. Keyter: Yes. Thank you. So thank you for the question. And if you look at the bottom line numbers, we do report losses, but those include the impairments that we had to take. We do operate in a cyclical business, and we suffer the vagaries of the market specifically with reference to commodity prices. So those have necessitated that we do write-downs on some of our assets, predominantly the U.S. and more recently on Keliber. If you do strip out for those noncash impairments, we've made profit in all of those years. Even if we include this year's impairments of just under ZAR 10 billion, we do forecast that we should make a bottom line profit including that number. But as I've said, you really have to add those numbers back. They relate to historical acquisitions and, due to the accounting standards, determining that we have to do those impairment assessments. Thank you.
James R. Wellsted: Thanks, Charl. Just before we go to the phone lines, I think we'll just end with the question or a comment from [ Steve Sheppard ]. Not a difficult question from me this time, which is unusual for Steve, but if you think it is appropriate, I'd like to wish Neal a long and happy retirement. The oldies amongst us know that he's been a legend in the mining industry. And to Richard, all the very best of luck filling Neal's big shoes. For what it's worth, I believe the group is going to be in strong hands with you. All the best to Neal and Rich. Thanks, [ Steve ]. I think can we go to the phone lines for questions?
Operator: First question comes from Adrian Hammond of SBG.
Adrian Spencer Hammond: I have a few questions. Firstly, for Charl on free cash flow, I see you've changed the definition to include deferred revenue. I see that as a low, and why have you included this time? Why have you changed the definition? And then for your EBITDA that you've explained in the -- one of the slides with the Section 45 credits, how much deferred revenues in your EBITDA for the first half? And then in your net debt-to-EBITDA calculation, sorry, a lot of accounting questions, but you do have a challenging set of accounts, does the net debt -- certainly, the net debt benefits from any prepayments that you've arranged, but does the EBITDA as well include the deferred revenue relating to that so that we can just understand your calculation there?
Charl A. Keyter: Yes. So thank you, Adrian. Yes, we did change the definition. We specifically looked at the impact that the cash receipts has on those numbers because those numbers simply had the entry in where we actually recognize the deferred revenue. So you really have to match the 2, show the inflow and the outflow. And it's for that reason why we've changed that definition just to make it more clear. Insofar as the EBITDA, I don't have the exact number, but it's probably about ZAR 1 billion. There's definitely ZAR 733 million for the chrome portion, and then there's obviously the deferred revenue from the Stillwater stream and the recently announced Franco- Nevada stream. So it's roughly about ZAR 1 billion of deferred revenue that's being recognized in our numbers. On the net debt to EBITDA, yes, we have shown the inflows insofar as the cash is concerned and the impact that that has on the debt or the net debt number. But similarly, we do recognize the deferred revenue in the EBITDA calculation as it comes in on that revenue line. So there is a matching of that, Adrian. It's not just simply -- we're not just picking the fruits of the one portion, but we're also showing the other side as well.
James R. Wellsted: Next question, please. operator. Sorry, it's still you, Adrian.
Adrian Spencer Hammond: Just wanted to understand, Keliber, the outlook there seems to suggest you may delay the ramp-up. And would that mean you push CapEx out or you cut CapEx in the near term? And then just trying to understand the permit situation. There's been some still pending appeal, so just trying to understand what the real implication is to the project based on those appeals.
Richard Andrew Stewart: Adrian, thanks very much. Let me -- I can perhaps just touch on your capital question, and Mika, will hand over to you just to unpack the permit. So what we -- in terms of capital, we will continue the build of the project and finish the build of the project, which is in the first half of next year. So the project capital, we will complete. I think it makes sense to complete the project fully. What we really are looking at in terms of the responsible start-up is whether that start-up is slowed down or delayed in some form or another compared to the original plan. So that is the work that is currently being looked at. So no impact on the project capital. Of course, part of the reason we're looking at it is the cost of the start-up. And once we have made a final decision on that, we will come to the market with that, but no change on project capital. We will complete that build of the project. Mika, could I perhaps hand over to you just to pick up the permit questions? Thanks.
Mika Seitovirta: Yes. Thank you very much. We are ready to go when it comes to permits. So concerning this one appeal, we need to remember that we have an enhancement order, so we can start to concentrate despite of this appeal. We also think that the likelihood that that appeal would change anything is almost nonexistent. Thank you.
James R. Wellsted: Thank you. Operator, is there another question? I believe there was another one pending.
Operator: Yes, sir. Next question comes from Chris Nicholson of RMB Morgan Stanley.
Christopher Nicholson: I have 3 questions, but I'll ask them quite quickly. So just to understand on the IRA credit, you've shown a cumulative future value of that. Is that full amount in cash or -- I seem to remember that in the future, there may be some portion that is only available in tax offset. Could you just confirm that? Second, the IRA credit, which relates to the recycling business, do you expect to be able to hold on to all of that? Or do you anticipate that your customers who you -- I guess, collectors who you're buying from will want to share in that just in the same way that you've obviously come to some agreement with Johnson Matthey on the underground mining? And then final one, just do you have capacity to process Rustenburg and Kroondal to your own operations should you not be able to renew the toll agreement with Valterra from the end of next year?
Richard Andrew Stewart: Chris, thank you. Thanks very much. Perhaps I can pick up the third part of your question and then ask Charl and Charles perhaps just to deal with the first 2. Chris, the short answer is yes. If we did have to process at our own operations, we certainly could do that. We do have the opportunity to do that. I think there are -- as I've said many times before, I think there are ways to optimize value better across the industry. And in that regard, we are continuing to engage with Valterra. But if we did have to move and process across our own, we would, but would likely have an impact on -- we would have to play a little bit with things like mass pulls, et cetera, to make it work, but we do have a solution if we have to. But we think there is better value and hence continue to engage. Charl, could I pass over to you just on the 45X. Thanks.
Charl A. Keyter: Sure. Thanks, Chris. On the IRA credits, you are right. There is a -- initially, it's cash, and thereafter, it is an offset. However, there is a market for that offset. So effectively, you can unsell that at a discounted rate, which based on historical numbers is in the order of 90% to 95%. So yes, there is a portion that is an offset against future taxes, but you have the ability to generate cash off that. [ Peter ], you can maybe confirm what the dates are. And then [ Peter ], insofar as the recycling customers are concerned, maybe you can also just weigh in there. Thanks.
Unidentified Company Representative: As it relates to the recycling customers, they don't really have a path to the 45X credits. But we've got certificates from all of them that effectively that they can't claim. It is obviously a market that we need to evaluate going forward, but at this point in time, there's no real risk from that point of view. No, nothing else to add.
James R. Wellsted: Thank you. I think there's one more question on the line.
Operator: Question comes from Dmitriy Dyachenko of Investment Capital Ukraine.
Dmitriy Dyachenko: I have a question regarding the Burnstone project. I saw media reports in June suggesting that the company was going to restart the project. And now you say the project is currently being assessed with a decision expected by the end of the year. The question is, what factors will influence the decision, the price of gold maybe? Because to me, the long history of the project's development indicates some problems with the geology. And for now, is the project more likely to be restarted or to remain on care and maintenance?
Richard Andrew Stewart: Dmitriy, thank you very much. And I think it's worth just sort of going back to the reason we put Burnstone on care and maintenance in the first place was very much around preserving the balance sheet. And I think that's the major things that we are currently assessing, once again, almost relates more to capital allocation in the coming year. So the project is technically sound. We understand what's needed. We did start the ramp-up, and of course, we have done all the necessary studies. So it's more around looking at what the detailed numbers would look like over the next 12 to 24 months to get the project restarted since it's been put on care and maintenance and how that ultimately will fit into capital allocation going forward. Also looking at alternative mechanisms to potentially finance that start-up. So that's the assessment far more so than any technical concerns or gold price, I should imagine.
James R. Wellsted: Thank you. Question from Lorenzo for Charl. I think would we call the convertible bond soon? As far as I know, we can't call before 2026 anyway, but...
Charl A. Keyter: Yes. Thank you, Lorenzo. No, I mean the call period only starts in November 2026 or shortly thereafter. Actually, I think it's the 19th of December. Yes, the price is well within that range now, but at this stage, we simply don't have the ability to call it.
James R. Wellsted: Thank you. A question from Itumeleng Rancho from Sibanye Stillwater actually. Considering that many countries are looking for alternative trading partners to the U.S. in light of the tariff war, is it not the time to look east from a strategic growth perspective? Diversifying into Europe is consistent with the apparent paradigm shift to find alternatives, so a lower risk in that regard for current projects. So I think it's 2 questions, Europe and China.
Richard Andrew Stewart: Yes. Thanks very much, James. I think as we outlined in the strategic overview of the presentation, I think a large part of our strength is that we have positioned ourselves in ecosystems over the last few years where we believe we can be competitive. And one of those has been the U.S. So we have been very successful in the U.S., I think as we've been outlining today, and that remains part of the strategy, is to deliver into those Western ecosystems. This is why we beneficiate our metals, and it's why we've developed footprint in those areas. So that will continue with the strategy, as I mentioned during the presentation.
James R. Wellsted: Thanks. Last question from Robert Sennott at Seaver Hill Capital. First, I want to compliment Neal's bold acquisition of Stillwater and look forward to Richard's future efforts going forward. I'd like to know, though, why Sibanye Stillwater has not acquired the missing card that would give the company the best possible hand, a royal flush, and that is silver. I believe Sibanye needs the diversification that silver can provide. Have you got one to sell, Robert, or -- but let me pass it on to Richard, please.
Richard Andrew Stewart: Yes. Robert, thank you very much, and listen, I think a very interesting suggestion. Earlier on, I was asked a question around strategically how we see recycling playing a part of our business. And I think your question relates really well to that. I think at the moment, in fact, we do have significant exposure to silver in that we produce almost 2 million ounces a year out of our recycling operations. So I think that's a really good example of where you can get relatively material and quick exposure to some of these critical metals through expanding those footprints. So I do agree with you. It's a great part of the mix. In our case, we've really focused over the recent times in getting that exposure through our recycling footprint. Thank you.
James R. Wellsted: Thanks, Richard, and thanks for all the questions. We really enjoyed the interaction. We are now done. I think we've -- had answered all the questions that were sent through on the webcast. So I'd like to hand over to outgoing CEO, Neal Froneman, for a last word.
Neal John Froneman: Thank you, James. And I think let me start off by saying you saw the Sibanye team in action today. And let me start off by complimenting them, Richard and the rest of the team, that actually prepared these results, prepared this presentation, and it included all the preparation for the Board work as well. So well done. I thought you guys and ladies all did very well. Let me also just thank my team for all the support that I've had over many years. And as I've said, and I don't say it privately either, that I believe this is the best team in the mining industry, and they'll certainly demonstrate it. Also I want to thank everyone on the call and specifically those that made positive comments about myself and Richard, [ Steve ], thank you. And there were some comments on the questions sent. We recognize that and note them. Thank you very much. The company is in great shape, got a good strategy. As I've said, it's never going to be a dinosaur, does things off the wall, sometimes very hard for people on the outside to follow. But this company is going places, and under Richard's stewardship, I look forward to seeing that. So thank you very much, everybody, for those on the inside that did all this work, those on the outside that make all this happen for your good questions and your support. Thank you very much.